Operator: Good day everyone, and welcome to the Lumentum First Quarter Fiscal Year 2021 Earnings Call. All participants will be in a listen-only mode. Please note, today’s event is being recorded. At this time, I would like to turn the conference call over to Jim Fanucchi, of Darrow Associates. Sir, please go ahead.
Jim Fanucchi: Thank you, operator. Welcome to Lumentum's first quarter fiscal year 2021 earnings call. This is Jim Fanucchi from Darrow Associates, assisting Lumentum with its Investor Relations. Joining the call today from the company’s management team, we have Alan Lowe, President and Chief Executive Officer; Wajid Ali, Chief Financial Officer; and Chris Coldren, Senior Vice President of Strategy and Corporate Development. Today’s call will include forward-looking statements, including statements regarding the markets, in which we operate, and our position in such markets, the impact of COVID-19 and responsive actions thereto on our business and continuing uncertainty in this regard, trends and expectations for our products and technology, our markets, market opportunity and customers and our expected financial performance, including our guidance, as well as statements regarding our future revenues from Huawei, our financial model and our long-term margin targets. These statements are subject to risk and uncertainties that could cause actual results to differ materially from our current expectations, particularly the risk factors described in our SEC filings, including the company's quarterly report on Form 10-Q for the fiscal quarter ended September 26, 2020, which the company expects to file later today, and in Lumentum's 10-K for fiscal year 2020 ended June 27, 2020. The forward-looking statements provided during this call are based on Lumentum's reasonable beliefs and expectations as of today. Lumentum undertakes no obligation to update these statements, except as required by applicable law. Please also note, unless otherwise stated, all results and projections discussed in this call are non-GAAP. Non-GAAP financials are not to be considered as a substitute for or superior to financials prepared in accordance with GAAP. Lumentum's press release with the first quarter 2021 results and accompanying supplemental slides are available on its website at www.lumentum.com, under the Investors section and includes additional details about our non-GAAP financial measures and the reconciliation between our historical GAAP and non-GAAP results. Now, I will turn the call over to Alan for his comments.
Alan Lowe: Thank you, Jim. Good morning, everyone. I would like make a couple of broader points before providing my business commentary. While we will be discussing our strong financial results and we’d benefit from the digital transformation that COVID-19 is accelerating, we recognize, and don’t want anyone to lose sight of the significant economic, health and wellbeing challenges COVID-19 has tragically brought to millions of people around the globe. Our thoughts are with all of those affected. Our thoughts are also with the health care professionals and first responders who selflessly make a difference on the front lines every day. I am proud that Lumentum plays an important role in the critical infrastructure that helps people safely continue their work, their education, and their life during these challenging times. Now onto my comments about our business and financial results. We started fiscal '21 on a strong note. In the first quarter, we achieved record non-GAAP gross margin, operating margin and earnings per share. For the first time, we achieved gross margin in excess of 50% and operating margin above 30%. This performance demonstrates the strength and resilience of our business and financial model. We expect this positive momentum to continue into the second quarter. As pleased as I am with our results and the progress we've made in driving towards our strategic goals, I'm as excited as ever about the opportunities ahead. As I often say, the future is truly bright at Lumentum. Long-term market trends and industry dynamics are very favorable. The world is accelerating its shift to increasingly digital and virtual approaches to work, entertainment, education, health care, social interaction and commerce, which all drive increasing needs for our differentiated products and technology. We intend to invest strongly in R&D to address these positive long-term trends and strengthen our market leadership positions. First quarter revenue was in the upper half of our guidance range. Our revenue mix was different than we had contemplated in our guidance due to the changes throughout the quarter. Our assumptions for 3D sensing improved conservative and demand for our 3D sensing products accelerated through the quarter. Strength in 3D sensing sales more than offset lower than anticipated telecom and commercial laser sales. Telecom and datacom revenue grew 2% sequentially and 5% year-on-year. Excluding revenue from low margin product lines, we have divested or discontinued, telecom and datacom revenue grew 4% sequentially and 14% year-on-year. The largest contributor to this growth was telecom transmission. We had strong sales of indium phosphide based coherent transmission modules and components, including ACO and DCO modules and 600 gig and 800 gig modulators. ROADM sales increased from last quarter, but we're still down year-on-year. However, our contentionless MxN ROADMs grew more than 30% quarter-on-quarter to a new height highlighting the increasing shift to this technology in new customer systems. During the first quarter, we saw some push outs in telecom customer orders. We also saw reductions in customer forecasts due to COVID-19 impacting the timing of new deployments in addition to customer inventory management. These contributed to lower telecom revenue than we assumed in our guidance. On certain key new telecom products, however, demand exceeded our ability to supply and we are working hard to expand output. During the first quarter, we made a lot of progress on new products, further strengthening our telecom leadership position. On the transmission side, we began sampling our 400G DCO transmission modules. On the transport side, we continued to proliferate a contentionless MxN and high port count ROADM technologies with C, L and extended C-band versions to enable customers next generation systems globally. Prior quarter trends continued in datacom with chip sales growing 6% sequentially. We have seen a shift in near-term customer forecast that lower projected 5G demand offset by continued strength in demand for our market leading chips for data centers. We have adjusted our wafer start plans accordingly. Our backlog for datacom chips remains very robust and demand continues to outstrip our wafer fab capacity. As such, we are continuing to aggressively expand our wafer fab capacity based on long-term demand trends and expectations. On the new product front, we are working closely with our lead customers on their needs for future 800G and above datacom transceivers. To this end, we have recently demonstrated high performance, 200 gig PAM4 EMLs for such applications. Looking to the second quarter, we expect telecom and datacom revenue to be up sequentially with the strongest growth coming from telecom transport driven by growth in next generation ROADMs. Industrial & Consumer revenue grew strongly quarter-on-quarter and was significantly higher than in our guidance assumptions. Our unmatched experience in shipping hundreds of millions of VCSEL arrays per year continues to put us in a leadership position in the market. Since we became an independent public company 5 years ago, we have shipped approximately $1.5 billion of 3D sensing revenue. We continue to believe we have a larger addressable opportunity over this product cycle. This is due to the significant increase in 3D sensing content for consumer device we are now shipping. Looking to the second quarter, we expect Industrial & Consumer revenue to be flat to modestly up quarter-on-quarter. We are optimistic about 3D sensing demand in the coming quarters and years. In addition to increasing content, we believe there's potential for a strong consumer upgrade cycle driven by new features, including 5G, augmented and virtual reality and computational photography. Further, we believe there's potential for market share shifts at our customer's level, which could be beneficial to us. On android, we continue to make very good progress on new opportunities. However, we are taking a conservative approach to Android revenue in our near-term projections to the COVID-19 and geopolitical factors. Looking even further ahead, we have multiyear product and technology roadmaps aligned with our consumer electronics customers. These includes unique technologies to increase the integration of other components, enable under screen 3D cameras, produce higher density and larger arrays to enable higher performance 3D imaging, as well as to create new lasers to increase our opportunity within other consumer mobile devices. We are also focused on planting seeds for growth in markets beyond consumer electronics. We have unmatched and invaluable experience in 3D sensing lasers for consumer electronics applications and broad industry leading photonic capabilities used across other markets. We believe this gives us a competitive advantage as we pursue emerging long-term opportunities outside of consumer electronics. In the past quarter, our VCSEL arrays have completed the important AEC automotive qualification through a module partner, and we expect initial deployments of these products to be an automobile in cabin applications. We are also now sampling high power VCSEL arrays into LiDAR for last mile vehicle applications. According to our customers, these last mile applications could be one of the largest LiDAR opportunities in the next several years. In addition, we are also sampling [indiscernible] qualification with major Tier 1 auto suppliers for broader automobile opportunities that we'll deploy and develop over time. We are making progress in the security and access control markets. We are already shipping in volume for facial recognition on payment kiosks. We are engaged with providers of security and access control systems who are looking to add 3D sensing to enable touchless or contactless high security access control. These applications are also accelerating due to public health and safety concerns. Turning to commercial lasers. Revenue declined 37% quarter-on-quarter. This is a larger decline than we had assumed in our guidance. Given our customer mix, this decline was related to manufacturing weakness outside of China. We expect second quarter Lasers revenue to be flat to up modestly. We believe that it will be several quarters before we get back to the revenue levels we saw in fiscal 2020. On the new product front, our latest 12 kilowatt fiber laser engines are now shipping to our lead customer for their newest platform. Additionally, we are very proud that our PicoBlade 3 was recently recognized by Laser Focus World with an Innovators award for being one of the most innovative products impacting the photonics community this year. I want to provide some color on our business with Huawei, given the regulatory restrictions that were announced in August. Sales to Huawei declined in the first quarter and were less than 10% of total company revenue. In the second quarter, our guidance contemplates sales to Huawei to decline further due to the regulatory restrictions. Beyond the second quarter, for modeling purposes, we currently expect sales to Huawei to be less than 5% of quarterly sales. Before handing over to Wajid to review the numbers, I want to thank and acknowledge all of our employees around the world. They are the ones who have put us in such a great position, both financially as well as with our technology and product leadership. They have been incredible, especially so working through the pandemic. This is a site each having their own personal challenges, living and working in these times. In addition to our business goals, contributing to society and our local communities is very important to Lumentum and to our employees. We are committed to the highest standard of social, ethical and environmental conduct and responsibility. This includes promoting safe, diverse and inclusive workplaces free from discrimination and harassment. Again, thank you to all of our employees. They are absolutely the company's greatest asset. I would also like to thank our customers, suppliers and shareholders for their continued support and partnership during these challenging times. With that, I'll hand it over to Wajid.
Wajid Ali: Thank you, Alan. Good morning, everyone. Turning to the first quarter's numbers. Net revenue for the first quarter was $452.4 million, which was up 23% sequentially and 1% year-on-year. GAAP gross margin for the first quarter was 45.5%, GAAP operating margin was 21.9% and GAAP diluted net income per share was $0.86. First quarter non-GAAP gross margin was 52%, which was up 480 basis points sequentially and up 620 basis points year-on-year. The sequential and year-on-year growth was driven by an improvement in product mix and acquisition synergies. As Alan highlighted, this record gross margin performance demonstrates the improvements we’ve made in our financial model. First quarter, non-GAAP operating margin at 33.7%, increased 890 basis points sequentially and 640 basis points year-on-year. Improvements were made by gross margin improvements as operating expenses were approximately flat with the comparable periods. Non-GAAP operating expenses totaled $82.7 million or 18% of revenue. SG&A expense was $36.8 million, R&D expense was $45.9 million. Operating expenses continue to be a little lower than normal run rates due to COVID-19 reducing travel, trade show and other expenses. First quarter non-GAAP net income was $139.2 million. This includes $900,000 of net interest and other income and $14.2 million of tax expense. Other income is down sequentially as interest rates on our cash and short-term investments are lower overall and we are being conservative in our investment portfolio. Non-GAAP diluted net income per share was $1.78 based on a fully diluted share count of 78.2 million. Now turning to the balance sheet. We ended the quarter with $1.61 billion in cash and short-term investments, up $57 million quarter-on-quarter. Strong growth in our accounts receivable during the first quarter should lead to an even stronger cash generation in the second quarter. We have $1.5 billion in aggregate principal convertible notes and no term debt. Of these convertible notes, 450 million is due in 2024 and 1.05 billion is due in 2026. The total cash interest expense associated with these notes is approximately $6 million per year. We are well positioned financially with a strong margin model, high levels of cash and low interest expense as well as long maturity financing. Turning to segment details. First quarter Optical Communication segment revenue at $428.5 million, increased 29.7% sequentially due to 3D sensing seasonality and growth in telecom and datacom. Year-on-year optical communication segment revenue increased 3% due to higher telecom and datacom revenue, particularly in datacom due to strong growth in our chip business. Optical Communication segment gross margin at 52.5%, increased 590 basis points sequentially. Due to the -- due to a better product mix with higher chip related revenue, an increased 640 basis points year-on-year due to a more favorable product mix, improved telecom and datacom margins and acquisition synergies. Our laser segment revenue at $23.9 million decreased 37% sequentially and 29% year-on-year. First quarter laser's gross margin decreased to 43.5% due to the significant reduction in manufacturing volumes. Now onto our guidance for the second quarter of fiscal '21. Please note the outlook we are providing is on a non-GAAP basis and are based on our assumptions as of today. We expect net revenue for the second quarter of fiscal '21 to be in the range of $465 million to $485 million. This revenue projection includes telecom and datacom increasing sequentially. Industrial & Consumer being flat to up modestly quarter-on-quarter and commercial lasers also being flat to up modestly quarter-on-quarter. Based on this, we projected second quarter operating margin to be in the range of 32% to 34% and diluted net income per share to be in the range of $1.72 to $1.90. These projections incorporate an increase in operating expenses, primarily due to an increase in R&D as we invest in new products and technology. An approximate share count of 79 million and an estimated other income of $0.5 million as well as an estimated tax expense of $15 million. Before wrapping up, I'd like to make a few important comments about our financial model. It might be helpful to refer to the earnings slide deck on our website for the following points as well. When we announced the acquisition of Oclaro, we put forth a target financial model with a gross margin range of 40% to 45% and an operating margin range of 22% to 28%. For the trailing 12 months from the end of the first quarter of fiscal '20 to the end of the first quarter of fiscal '21. We exceeded this target model. We believe we will continue to grow margins over time due to further improvements in product mix, efficiency and operating leverage. As such, we are now increasing this annual target in our midterm financial model. Our annual gross margin target moves up to 50% and our annual operating margin target increases to 30%. We don't expect to exceed these new targets for the current fiscal year due to 3D sensing seasonality as well as regulatory restrictions on sales to Huawei impacting the second half of the fiscal year. With that, I'll turn the call back to Jim to start the Q&A session. Jim?
A - Jim Fanucchi: Thank you, Wajid. Before turning the call over to the operator to start the question-and-answer session, I would like to ask everyone to keep to one question and one follow-up. This should help us get to everyone before the end of our allotted time. Operator, let's begin the question-and-answer session.
Operator: [Operator Instructions] Our first question today comes from Samik Chatterjee from JPMorgan. Please go ahead with your question.
Samik Chatterjee: Thank you. Hey, good morning. Thanks for taking my question. Alan, I just wanted to start with the telecom group. I think a lot has changed, your key customers like Huawei and Ciena over the last 2, 3 months. Wondering if you can go into a bit more details or share thoughts about how sustainable telecom demand is given kind of the changes we're seeing and what's driving the delays and the push outs that you talked about. Is it kind of more focused on a particular geography, or is it kind of broad based? And then I’ve a follow-up. Thank you.
Alan Lowe: Sure. I mean, if you look -- looked at our guidance or in this script that we talked about telecom and datacom actually increasing in fiscal Q2. So we're pretty confident that we'll have growth in telecom this quarter. I'd say we were probably expecting higher growth, but due to some deployments not happening per the original schedule, I think mostly due to COVID and the ability to get out into the field and deploy these networks, we've seen some slow down, but we're still expecting growth across the globe in our fiscal second quarter.
Samik Chatterjee: So anything on what's driving the delays? Is it more likely delay on the geographies in deploying 5G?
Alan Lowe: Well, we -- as I said in the script as well, we did see some delays in the demand for our datacom chips for 5G deployment, mostly in China. But that is easily taken up by demand, strong demand in hyperscale cloud data centers. And so we've had to shift our wafer starts in our datacom business towards more of the higher speed inside the data center applications. But I'd say that is one area that we saw some delay in the deployments, slower than expected in our 5G deployments in China.
Samik Chatterjee: Okay. And if I can follow-up on 3D sensing, the industrial & Consumer group, you’re guiding to flat to modestly up. But I think relative to kind of the guidance you had last quarter where you sounded a bit more confident about December being the peak in revenues. I'm just wondering if anything is changed on that front or what are your assumptions in relation to maybe market share when you are kind of guiding to that for the December quarter?
Alan Lowe: Yes. As we said, throughout fiscal Q1, demand came in stronger-than-expected and stronger than we had guided in our August call. We've had a very strong October and expect flat to slightly up. Now that could change depending on how successful our lead customers' launches. But so far, everything was positive. I do think one thing that maybe a little different this year is that we expect some of the demand that would typically be consumed in the December quarter to roll into the March quarter. So that's perhaps a dynamic that maybe wasn't contemplated earlier.
Operator: Our next question comes from Rod Hall from Goldman Sachs. Please go ahead with your question.
Rod Hall: Yes. Thanks for the question guys and nice job on the earnings here. I wanted to start off with the -- just the order trajectory -- orders trajectory here recently in the last few weeks. Now that the new, let's call them the lead customer phones have launched. I wonder if you guys have seen any change in 3D sensing or trajectories, or that's all been pretty constant last couple of weeks? And I have a follow-up.
Alan Lowe: Well, I mean, we've seen strong demand through August and September and it carried through October. So it's more of a front end loaded quarter. Now that could carry throughout the balance of the quarter, but our guidance doesn't contemplate that. So I'd say we're in a good position. As far as market share, I think you'd have to ask our competitor, because he doesn't give the numbers and our customer doesn't tell us what share we have. We have a contractual obligation that they abide by at a minimum and we're fairly confident that that's certainly being abided by.
Rod Hall: Okay. Thanks for that, Alan. And then I wanted to -- on datacom just check the capacity situation and ask if you could give us any idea more specifically when that fab capacity comes on and how much more fab capacity are you adding proportionately. Can you just kind of give us some idea of what's going on with capacity there?
Alan Lowe: Yes. As we said in the August call, we're expecting to -- and I might -- Chris, you might have to correct me, double the wafer capacity over the next 18 to 24 months. It does come in chunks and our cycle time for datacom wafers is more than a quarter. So like I said, in the script, as we see a shift from 5G to data center, that takes time to move over. So in the short-term, we're going to be constrained on those data center chips. I would say that could we grow from where we are today to double that in revenue and volume? I'd say that there's probably some offsetting price reductions over time that would offset some of that, but our expectations are that we will have plenty of demand, 2 years from now to consume twice of what we're producing today.
Rod Hall: [Multiple speakers] Alan with …
Alan Lowe: So we can keep in mind some of the newer chips have -- are bigger and so they consume more real estate on a wafer. So it may not be -- there are more [multiple speakers] but -- sorry, it may not be doubling of units, but it would be doubling of wafers as the new -- newer 200 gig chips that I talked about are actually larger and there's fewer chips per wafer.
Rod Hall: Okay. But you can't say when the next big chunk of capacity comes on?
Alan Lowe: Oh, it -- I would say probably middle of next year, we will see some step up of our capacity. We're getting incremental capacity last quarter, we grew 6%. We are going to continue to get some incremental improvement through yields and productivity. But I'd say probably middle of next calendar year, we'll see a step up of installed capacity to be able to take advantage in the second half of the year.
Operator: Our next question comes from Alex Henderson from Needham and Company. Please go ahead with your question.
Alex Henderson: Great. Thank you. Can you hear me okay?
Alan Lowe: Yes, Alex. Thanks.
Alex Henderson: Perfect. I wanted to go into the ROADM side of the business. Obviously, very good performance in MxN. I would assume that that's more western accounts than Huawei. Huawei as I understand, it tends to do more of the lower, the speed stuff. So given the strength of demand there isn't -- aren't those somewhat tied to the timing of chassis deployments, in which case, a slower chassis sales would slow down the demand growth there at least temporarily. So I was wondering if you could talk a little bit about that aspect of it, and to what extent you're adding capacity, what rate of capacity adds you're looking at? Any timing around that would be very, very helpful. I appreciate it. Thank you.
Alan Lowe: Sure. I think as we look at that very high port count in the MxN as I said in the past, China was leading the way but the rest of the world was following. And I'd say that today we're seeing that rest of the world start deploying in a meaningful way. And so I expect that the non-Huawei business for our high core count and MxN will grow dramatically over the next 18 months. I'd say that we're adding capacity. Capacity adds take 6 to 9 months. So the decisions we made that are adding capacity today happened in the first calendar quarter. Those are coming online now. So we're expecting to continue to add capacity as the rest of the world puts these in their mainstream systems that get deployed in later this year and into calendar '21.
Alex Henderson: Can you give us any calibration on the size of those capacity adds and whether you're planning the next set for say, the first half of next year?
Alan Lowe: Well, I mean, I think if you look at what we said, the MxN grew 30% last quarter. That was a big chunk coming online, but that's not going to come online this quarter. I'd say that we probably have more MxN coming on in the first half of next year as our non-Huawei customers are really starting to have meaningful deployment. That's our expectation at this point.
Operator: Our next question comes from Tom O'Malley from Barclays. Please go ahead with your question.
Tom O'Malley: Good morning guys and congrats on the nice results. My first question is on the really strong gross margins. Could you talk about what's driving the Opcom communications? You mentioned product mix a couple of times, and I assume that's from that larger customer rolling on, but you also upped your long-term range. So is there some real gains in the core telecom and datacom gross margins? And can you kind of break out what the contribution is for the better margins? Is it just the big customer or is it also some real gains in that core business as you move more towards chips?
Wajid Ali: Tom, it's Wajid. I'll take that one. And then Alan and Chris can follow-up. So, yes, the strong gross margins were obviously driven by a very strong product mix. We've also had an accumulation of synergies that we talked about for a number of quarters that have added up and have added to our overall financial model. Our datacom chip business increasing 6% quarter-over-quarter that was all chip business as well. And the gross margins on those product lines are quite healthy. To your question on the long-term model, really the long-term model assume that our lasers business comes back up and starts running at a normal run rate again. And one of the reasons we haven't said that we will exceed the long-term model for this fiscal year is because we expect to have our lasers business continue to be weak into the back half of the fiscal year, and then, expected to improve as we move into fiscal year '22. And so that's what's really giving us confidence in our overall company long-term gross margin model being able to achieve over a 50% gross margins is really lasers coming back and having Opcom continuing to improve with all the capacity improvement that Alan talked about in datacom chips and our 3D sensing business, especially the new products in 3D sensing continuing to have an uptake as you can appreciate, that's just starting to get going. And we expect that to be a real success helping us into the next few quarters.
Tom O'Malley: Great. That's helpful. And then my follow-up was really on the datacom business. You mentioned there were some push outs in 5G. I assume that's front haul related product, but then you mentioned that there were some strength in the hyperscale business. Where are you seeing that strength? And is that something that you expected or is that something that you recently saw pickup?
Chris Coldren: Hey, Tom. This is Chris. So yes, the 5G is front haul related. And as you can imagine 5G deployments, at least initially it's been concentrated in China and we've seen a slowdown from those customers given the ecosystem around 5G in China is affected by what's going on in China is, affected by what's going on in the geopolitical regime and in regulations Huawei. But as we've talked about in prior quarters, we've had multiple quarters of backlog in our datacom business. So not a big surprise that there's very strong demand for our chips going into data centers. And I think that's a combination of both our type of customer that we supply into in datacom, i.e., the transceiver customers winning more business within the hyperscale cloud operators as well as our relative competitive position as speeds increase and more performance is needed as you go from 40 to a 100, 100 to 200, 200 to 400, our footprint in those customers tends to increase.
Operator: Our next question comes from John Marchetti from Stifel. Please go ahead with your question.
John Marchetti: Thanks very much. I wanted to touch on the Huawei outlook that you gave both for the December quarter, as well as the second half of the year. I just wanted to get a little bit of an understanding from the reduced outlook, how much of that is really based on actual restrictions of what you are allowed to shift versus Huawei's maybe overall demand declining because of their lack of access to some other products that they can't get for the full [indiscernible] materials.
Alan Lowe: Yes, I'd say it's a combination of both, right. And when you look at what we ship into Huawei, there's still strong demand for all of our telecom and datacom products. There's some of those products we cannot continue to ship. And so I'd say the majority of the reduction from being greater than a 10% customer, a few quarters ago to today less than 10% and going down below 5%, most of that's due to regulatory restrictions. A little bit is based on demand, I'd say that like in the consumer products.
John Marchetti: Okay. And then, Wajid, if I can follow-up on some of your gross margin outlook comments. If we think about that laser business getting back into sort of the mid to upper 40s, or maybe even a $50 million sort of quarterly run rate, how much upside off of this sort of 43.5 that you did this quarter should we expect there to be?
Wajid Ali: Well, I mean, in fiscal Q4 where we had a $37 million quarter for lasers, we were above 50% gross margins. And so we have different margin mix within our lasers business itself with some of the products achieving better gross margins, but our new products and lasers are expected to be well above that. And so as that gets into the $40 million or $45 million range, we should see a nice bump back into the 50% gross margin line for lasers.
Operator: And our next question comes from Simon Leopold from Raymond James. Please go ahead with your question.
Simon Leopold: Thanks for taking the questions. First, I wanted to just get a better understanding of the issues with Huawei. In that talked about some level of sales below 10% in this quarter, which we understand and then the outlook eventually getting below 5%. I certainly know that zero is also less than 5%, but why does the value not go to zero? Could you help us understand what are the aspects of the rules that allow you do business with Huawei that is still a positive number? Thanks.
Alan Lowe: Yes. We are not going to get into the details of the restrictions in our products and which ones to buy, which ones are falling to the restrictions or not. Other than just to say, the business with Huawei is becoming less material for our future business and down below 5%, whether that's zero or 4.5% is still a CBD [ph] at this point. We try not to guide more than one quarter at a time, but we wanted to get some color around our expectations that it's going to continue to go down and become even less meaningful to our overall business in the second half of the fiscal year.
Simon Leopold: And then just understanding you don't want to guide beyond a quarter, I think it would be helpful to everyone if we could at least get some qualitative aspects around the March quarter seasonality in that you've got a couple of odd things going on this year where your 3D sensing is time shifted from September to December, creating a tougher comparison. And then you've got the Huawei issues we just talked about. So maybe less China business which usually affects seasonality. Could you help us understand a little bit about how your seasonality may be different in calendar '21 versus prior years?
Alan Lowe: Well I'd say, and Chris can jump in as well. I'd say that our China business is impacted by the restrictions at Huawei. And I think if you just take a look at where they have been, where they were in the September quarter, where we're expecting them to be in the March in June quarter, I think you can take 5% to 8% of our revenue out as a result of that. And so that's a broad range in it. Things are going to change. Things are going to change probably tomorrow, who knows, but that's our current expectation. As far as 3D sensing is concerned, we've taken a very conservative approach on Android. So I'd say that our expectations are Android is very small in the first half of next year. Although we're working with many of the customers to make sure that if or when they decide to put 3D sensing into their mainstream phones, we'll be there for them. And I'd say that for our lead customer, they don't really tell us. Our expectations are that there is some strength in 3D sensing in the March quarter, more than normally given the later launch of the product line. Does that answer your question, Simon?
Operator: Our next question comes from Meta Marshall from Morgan Stanley. Please go ahead with your question.
Meta Marshall: Great. Thanks. Just wanted to get a sense of, maybe coming back to Huawei, as that business kind of winds down a little bit or was restricted a little bit, just are you seeing any broadening out of demand from other kind of China optical vendors? And then maybe second, just you talked a lot about the auto opportunity just in terms of general timelines we should be thinking of for maybe in cabin and out of cabin. Thanks.
Alan Lowe: Sure. I'll take the Huawei one. I'll let Chris answer the auto one. I'd say that there's activity around traditional carriers that have been relying on Huawei. But that takes time, meaning there's nervous carriers that don't want to rely on Huawei and I think that's natural. I'd say that -- again, that's probably a multi quarter thing before that bidding cycle and the responses turn into deployments. So I think it's happening. I don't think there's a slowdown in bandwidth demand and so networks are going to need to continue to be built and bandwidth is going to need to continue to grow. So I think that, if you look at our share of wallet of other customers, it's actually a long-term positive trend for us. It's just a matter of the air pocket between now and those new deployments happening. I'd say that's two to three or four quarters. Okay?
Meta Marshall: Maybe just following up right there on that real quickly. I mean, just in terms of understanding kind of overall global share, but just in terms of selling into ZTE or FiberHome, more China specific vendors and just kind of the share shifts taking place there.
Alan Lowe: Well, we've seen strengthened in our non-Huawei China customers over the last several quarters and really consuming high-end ROADMs, consuming high-end coherent transmission components and modules. So I don't know if that's a -- a result of the Huawei restrictions or results of our products being state-of-the-art and leading edge. And I'd say that we're going to continue to see growth from those customers over the short and mid-term time horizon.
Operator: Our next question comes from …
Alan Lowe: Hang on operator. Chris, there was a question about automobile [indiscernible].
Chris Coldren: Yes. So we're playing into automobiles multiple ways, both in cabin as well as outside cabin for driver assistance systems or in the case of autonomous vehicles, sensor systems to enable the Car C in order to go, i.e., LiDAR systems. And as Alan highlighted on the call, in the past quarter we qualified in a module level product that enables in cabin applications. Europe is really leading the way for in cabin driver monitoring systems. They have regulations that require it to be installed in vehicles, I believe, starting out in calendar '22. In cabins, probably the smaller of the opportunities relative to the outside cabin opportunity in LiDAR, all of these are long-term markets. They don't really start taking off out into the '23, '24, '25 timeframe, even then the penetration is relatively low. But over time, we believe these become multi $100 million opportunities for Lumentum even at the laser level. And we are definitely supplying at the laser level have opportunities to move up to the module level where the dollar content might be a bit higher. But what's really critical is because these markets take a long time to get designed in and qualified and eventually ramp up, we need to plant those seeds today, get designed in with module integrators and ultimately Tier 1 auto manufacturers. And that's really what we wanted to highlight today is that design in activity and traction is happening.
Operator: Our next question comes from George Notter from Jefferies. Please go ahead with your question.
George Notter: Hi, guys. Thanks very much. I wanted to ask a 3D sensing question. Is there -- obviously, the parts that you're shipping into your lead customer are all new this cycle, or maybe most of what you're shipping into that customer is brand new. Is there some desire to build an inventory safety stock, by your large customer as they shift over to those new parts? And I think, Alan, you were referencing something about March consumption, sell in versus sell out. Can you just talk about how you see inventory at that customer? Thanks.
Alan Lowe: Yes, George, we really don't have a lot of visibility into what is the inventory of modules and consumer devices beyond when we ship a VCSEL chip to the module integrator. So, sorry, I'm not to be able to provide a kind of color on what that looks like. I will say, though, that through the quarter we saw upticks in the demand, which would tell me that something changed, whether it's a share shift or [indiscernible] were stronger to in customer demand. And so that's the only kind of color I can give you on inventory or what's going on at our customers level.
George Notter: Got it. Okay. That's helpful. And then one last one. Linearity, I noticed that the day sales outstanding calculation was pretty low relative to what you guys have typically reported in recent quarters. Was the quarter front end loaded linear? How would you characterize it? Thanks a lot.
Alan Lowe: Wajid, you’re on mute, I think.
Wajid Ali: I'm sorry. Forgot to hit the unmute button. Our quarter was pretty similar to previous quarters in terms of overall linearity. You can see shifts in customers in terms of their own linearity, and that can have an impact on our DSOs, just depending on what the payment terms are with each one of them. And then sometimes, they'll come along and either pay within the first couple of weeks of the new quarter or the last couple of weeks of -- at the end of the quarter, depending on how their batch processing works. We're expecting our cash flow to be significantly better in fiscal Q2 versus fiscal Q1, just given the type of profitability we've achieved during the quarter. So should all be good from a cash flow standpoint.
Operator: And our next question comes from Ananda Baruah from Loop Capital. Please go ahead with your question.
Ananda Baruah: Hey, good morning, guys. Congrats on the results and thanks for taking the question. Just two quick ones for me, if I could. Alan, sort of the comments about two to four quarters, the air pocket to make up some of the Huawei revenue. Is that China specific, or is that a worldwide remark? And then I have a quick follow-up.
Alan Lowe: Yes, I mean, I don't have a crystal ball, but I'd say that there is activity today outside of China where traditionally Chinese Huawei based carriers are looking for other suppliers. And that's what my comment was around. It was outside of China. It's probably two to three quarters before that kind of activity turns into revenue for us and revenue for our network equipment manufacturing customers.
Ananda Baruah: Got it. That's really helpful. And just a quick follow-up on gross margins. You guys gave context around what drove them this quarter. To what extent and sort of with regards to the new long-term model, does capacity utilization play a role? Obviously, mix does. And then are there any other factors besides the capacity utilization that will influence the margins meaningfully long-term, the gross margin?
Chris Coldren: Yes, I'll start with that one. So it's not just capacity utilization, but the additional capacity is going to help us quite a bit from a gross margin standpoint. And then Alan talked about the fact that we're seeing improving yields and productivity to get more supply to meet demand for our datacom chip products. And obviously, that's helping as well. The one thing we noted earlier that I'll note again is really our laser is acting as a headwind to our overall corporate model. Our Opcom segment has very strong tailwinds in it, whether it's our telecom transport business or telecom transmission business or telecom datacom business, as well as 3D sensing with our new products and new opportunities we've got there. So as we see lasers come back up from an overall revenue standpoint and capacity utilization within our own fabs where laser products improves, we should see the nice bump up. I pointed out earlier that $37 million of laser's revenue in fiscal Q4. We had above 50% gross margins. And so really that's because of capacity utilization helping us improve our overall laser's gross margin profile, which obviously helps to consolidate the company. So it does play a pretty big part of it.
Operator: Our next question comes from Chris Rolland from Susquehanna. Please go ahead with your question.
Christopher Rolland: Thanks for the question and I'll also echo my congrats on the quarter as well. My first question was kind of higher level. I was wondering if I could get your thoughts on the Marvell and Inphi proposed acquisition and kind of what that means for your outlook for vertical integration in optical. And whether this changes your strategy in terms of what it might be appropriate to tie up with another company or whether you think you can go it alone for now and forever, perhaps. But, yes, just your high level thoughts there and how you might execute going forward.
Chris Coldren: Yes. Hey, Chris. This is Chris. So I think the that Inphi was picked up by another semiconductor company as opposed to, say, a network equipment manufacturer really means that at least our view is that they will remain a merchant IC supplier, less clear whether they will be as focused on providing modules where we may compete with Inphi on the future. That still remains to be seen. So I think overall, from our standpoint, this doesn't necessarily change the landscape very much in that one fabless semi company becomes another fabless semi company. And if we were purchasing products for them, that buying it from a -- from Marvell as opposed to buying from Inphi is probably not a big change for us as opposed to, for example, other deals that have been out in the industry, Acacia being acquired by Cisco. Over the longer run, I mean, I think we're very, very confident in our ability to compete and prosper in the telecom market with our industry leading indium phosphide components. That's really where we see our differentiation. And what we choose to do from that forward on whether that be organic development or M&A, we will let you know if or when something happens there.
Christopher Rolland: Thank you for that. And then just a couple housekeeping, I don't know if you offer any other details around things like a book-to-bill or changes in lead times or perhaps capacity utilization.
Alan Lowe: Yes, we typically don't do that unless there's something to highlight, like our datacom chip backlog is very large and we are capacity constrained and will be such for some period of time. Similarly, in our wafer fab, in our indium phosphide wafer fab with a strong demand in 600 and 800 gig modulators that's capacity constrained. And so -- but beyond that, we typically don't give book-to-bills or backlog because some of it doesn't really mean much in that a lot of our customers are on BMI agreements and some of our customers are placing long lead time -- long lead time purchase orders 1 year in advance. And so it kind of fluctuates what's going on with book-to-bill and backlog. But I'd say that we are -- our guidance contemplates normal run-of-the-mill type of demand that is strengthening across the board.
Operator: And our next question comes from Tim Savageaux from Northland Capital Markets. Please go ahead with your question.
Tim Savageaux: Hi. Good morning and congrats on the results. I wanted to maybe focusing on telecom and datacom from a guidance perspective, in particular. It looks to be where you expect the growth here this quarter and maybe even more notable, given the anticipated declines, further declines at Huawei. So when you look at what you're effectively guiding to kind of the mid-teens percentage, sequential increase. I think you've already called out ROADM as the primary driver of that growth, but I just want to confirm that and maybe get your comments to expand beyond Meta's question earlier, seeing increased traction among other Chinese OEMs. But I wanted you to comment on more broadly about customer diversification globally and what might be driving that strength. Saw some pretty strong optical results out of Nokia, for example, last week. So I guess the overall question is about growth drivers for that sequential guide and what you're seeing from them, kind of an OEM diversification standpoint globally.
Alan Lowe: Yes, so we said that a lot of the growth is coming from our ROADMs as we’re adding capacity and trying to meet the strong demand of our high end ROADMs. We're also seeing strength in the higher speed coherent components like our 600 and 800 gig modulators and tunable lasers. I would say those are probably the two big areas. Datacom chips with the shift between 5G and hyperscale that's probably not an area where we’re going to see huge growth because of the lift [ph] is. And so I said most of it's coming from those two areas in ROADMs and indium phosphide. Chris, do you have anything to add on that?
Chris Coldren: No, I mean, I think that the key point, really, Tim, is if you go back pre-pandemic, we've been preparing, if you will, for the next generation systems, whether they be 400, 600, 800 gig, whereas the 100, 200 gig systems are kind of grown long in the tooth, where transport products going into those systems have softened. That's why ROADMs came down late last year and then obviously the pandemic caused disruption in our ability to supply, we're catching up with that. And really the growth is being driven from a product standpoint across high end ROADMs and the newest coherent components. From a OEM diversification standpoint, there's not a lot of new OEMs per say out there. So we're pretty well covered. I think what we're seeing, though, is those new products that are growing typically start in, one-ish customers where your lead customer, when you're developing design in and then proliferate across a broader customer sets. And I think as we highlighted in the script, something like the MxN ROADM is something that initially started in China and is now proliferated across a broader set of customers. We anticipate the same thing happening with the 600, 800 gig high speed coherent components as well as our DCO modules, providing a broader customer set for those individual products doesn't necessarily mean we're adding new customers, per say.
Operator: And ladies and gentlemen …
Alan Lowe: We only had one 10% customer last quarter. So the customer diversification is happening, and I think we'll continue to see that. Sorry, Jimmy, go ahead.
Operator: And ladies and gentlemen, we do have time for one additional question. This question comes from Tom Diffely from D.A. Davidson. Please go ahead with your question.
Tom Diffely: Yes, good morning. Maybe just one final question on 3D sensing. What is your view of the relative revenue or pricing or margin differences between the standard and the world facing components that you saw?
Alan Lowe: Not really much difference. I would say that this is a product cycle where a refresher of all of the chips kind of resets expectation on pricing. And we've been able to come up the yield and productivity curves quite strongly on both the front facing and world facing chips. So I wouldn't say that there's a meaningful difference in margin or revenue per wafer area per say.
Tom Diffely: Great. That's it for me. Thank you.
Alan Lowe: Thanks, Tom.
Operator: And ladies and gentlemen, with that we will end today's question-and-answer session. I'd like to turn the conference call back over to Jim Fanucchi for any closing remarks.
Jim Fanucchi: Thank you, operator. This does conclude our call for today. We would like to thank everyone for attending and we look forward to talking with you again when we report the second quarter fiscal '21 results. Have a good day.
Operator: And ladies and gentlemen, with that we will conclude today's conference. We do thank you for attending. You may now disconnect your lines.